Operator: Greetings, and welcome to the Electrovaya First Quarter 2020 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Richard Halka, Executive Vice President and CFO. Please go ahead, sir.
Richard Halka: Thank you, operator. Good morning, everyone, and thank you for joining us on today's conference call to discuss Electrovaya's fiscal 2020 first quarter financial results. Today's call is being hosted by Dr. Sankar Das Gupta, CEO of Electrovaya; and myself, Richard Halka, Executive Vice President and CFO. On February 14, 2020, Electrovaya issued a press release concerning its business highlights and financial results for the three-month period ended December 31, 2019. If you would like a copy of the release, you can access it on our website. If you want to view our financial statements, management's discussion and analysis, you can access those documents on the SEDAR website at www.sedar.com. As with previous calls, our comments today are subject to the normal provisions related to forward-looking information. We'll provide information relating to our current views regarding trends in our markets, including their size and potential for growth, and our competitive position in our target markets. Although we believe that the expectations reflected in such forward-looking statements are reasonable, such statements involve risks and uncertainties, and actual results may differ materially from those expressed or implied in such statements. Additional information about factors that could cause actual results to differ materially from expectations and about material factors or assumptions applied in making forward-looking statements may be found in the company's press release announcing the fiscal 2020 first quarter results and the most recent annual information form and management discussion and analysis under Risks and Uncertainties as well as other public disclosure documents filed with the Canadian security regulatory authorities. Also, please note that all numbers discussed on this call are in U.S. dollars unless otherwise noted. And now I'd like to turn the call over to Sankar.
Sankar Das Gupta: Thank you, Richard, and good morning, everyone. For the listeners in Canada who had Family Day yesterday, I hope you enjoyed the long weekend. I'm pleased to say that our order backlog continues to expand. As we reported last week, it now exceeds US$12 million or C$16 million. We announced new lithium-ion battery orders worth approximately $4 million near the end of December, and we have subsequently received more. Now orders for commercial battery products are coming from both new and repeat customers, and demand has been solid through both of our key sales channels: direct sales to large global customers and sales through OEM distribution. As you can see, we are building significant momentum, and we expect our order volume to continue to grow. Our customers are pleased with the performance of our batteries, and we continue to receive new inquiries from large global companies. As I mentioned on the last call, we moved into a new head office and manufacturing facility at 6688 Kitimat Road in Mississauga during the first quarter that comprises approximately 62,000 square feet of space. We are pleased with the new office, which provides us with the space we need to scale up production as customer demand increases. The new location also places us closer to key customers. The move during the last quarter, which ended 31st December, was done in rapid time, moving production, research and equipment along with our office. Our team worked seven days a week round-the-clock to achieve this move. And the disruption in production during Q1 did, of course, take place, but we are pleased to report that the first batteries produced from our new location in Kitimat have been delivered. Back in November, we said we expect battery deliveries to ramp up in the fiscal second quarter, which is this quarter, barring unforeseen circumstances as we complete deliveries on our Walmart orders. Obviously, the coronavirus was an unforeseen circumstances. The outbreak in China has caused temporary disruption to the global supply chain, which is impacting our delivery schedule. We now expect some deliveries to extend into the fiscal third quarter ending 30th June, again barring further unforeseen circumstances. This slight delay is happening, and we continue to monitor the situation and keep in close contact with our suppliers and, of course, with our clients. We still anticipate completing deliveries on approximately $10.8 million or C$14 million of orders by the end of fiscal third quarter, which is June 2020. While we are focused on generating more order volume, we are also aggressively reducing costs to boost profitability. After excluding interest and stock-based compensation, we reduced overhead cost by 38% in the first quarter of fiscal 2020 compared to Q1 last year. This will continue to be an important priority for us going forward. Overall, we believe our competitive position is strong. Our order book is growing. We are reducing our overhead costs, and we are scaling up to meet customer demand. Our customers, both through direct sales and through our OEM channel, are large, sophisticated corporations, and we believe they had a global choice. And their choice is a tribute to our technology, our team and our products. We anticipate significant growth in revenue and profitability in the months ahead as we fulfill orders currently in our backlog and receive new ones. I will now turn the call over to Richard to review our fiscal first quarter results in greater detail. Richard?
Richard Halka: Thank you, Sankar. Revenue for the three months ended December 31, 2019, was $0.9 million compared to $2 million in the first quarter last year. As Sankar has already mentioned, this decline was due in part to relocation of our manufacturing and other operations during the quarter. We also needed additional working capital to fulfill purchase orders, which has been secured. We expect higher revenues in the coming quarters as we complete deliveries on outstanding orders. Gross profit for Q1 2020 was $0.3 million or 37% of revenue compared to $0.7 million for the quarter before for the Q1 2019 quarter at, again 37% of revenue. Net loss was $1.9 million in the quarter compared to a net profit of $2.8 million in Q1 last year. The net profit in Q1 2019 was primarily attributable to a onetime gain of $4.2 million on the sale of our former head office building. Total operating expenses were $2.1 million in Q1 2020, down 16% from $2.5 million in Q1 last year. As Sankar noted, our operating expenses were down 38% year-over-year after excluding finance and stock-based compensation. Turning to our balance sheet. We had $0.6 million of cash and cash equivalents at December 31, 2019, compared to $0.3 million as at September 30, 2019, which was our fiscal 2019 year-end. We used a total of $1.8 million of cash in operating activities during the first quarter compared to $0.5 million in Q1 last year. We continue to manage our working capital carefully. During Q1 2020, on November 11, 2019, we announced the closing of a secured C$5.5 million credit facility agreement with a Canadian financial institution, which increased our overall credit facility limit with this institution to C$7 million. The facility supports the fulfillment of our recently announced purchase orders. The ongoing support of this institution underscores the strength of Electrovaya’s products and customers base. Inventory was $1.2 million as at December 31, 2019, compared to $1 million as at September 30, 2019. Overall, we are focused on expanding sales and carefully managing our costs. We’re also working hard to access essential financial resources to grow our business. I’d now like to turn the call back to Sankar to wrap up.
Sankar Das Gupta: Thank you, Richard. The interest in Electrovaya’s lithium-ion battery products has never been higher, and our market presence continues to grow. Our batteries are currently powering e-forklift systems in some 28 locations, including about 24 in the United States, two in Canada, one in Mexico and one in Costa Rica. Customer satisfaction is high, and the strong word of mouth is spreading. Our growing order backlog is clear evidence of this positive trend. It took a large amount of time and effort to pivot to this commercial electric vehicle space and validate the Electrovaya battery, including its strength in cycle life, safety, energy, power and system design, with sophisticated customers with global reach. Our product models keep growing, and we expect this technology to drive us into many commercial vehicles, including electric buses. That concludes our remarks this morning. Richard and I would now be pleased to hold a question-and-answer session. Hector, please open the line to questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Bob McWhirter with Selective Asset Management. Please proceed with your question.
Bob McWhirter: Congratulations on growing the backlog. You seem to be doing well. You talk about increasing the credit facility from $5.5 million to total of $7 million to support kind of near-term purchase orders. I’m just wondering if you could talk about the convertible debt that’s due roughly around the end of March of this year and what might be done to accommodate repayment of the debt or extension of terms.
Richard Halka: Thank you, Bob. It’s Richard Halka here. I think that we’ve been a bit quiet on this because we are involved in active discussions with them as well as other institutions. And I think at this stage, I really wouldn’t want to say anything more about it because it is, as I say, an active discussion. But we are certainly progressing well with this, and we think that we should be able to say something within the coming weeks. But at this stage, as we are still in active discussions, we’d prefer not to provide too much color around this at this point.
Bob McWhirter: Thank you.
Operator: [Operator Instructions] Ladies and gentlemen, we have reached the end of the question-and-answer session, and I would like to turn the call back to Dr. Sankar Das Gupta for closing remarks.
Sankar Das Gupta: Well, thank you, Hector. That concludes our call. Thank you all for listening in this morning. We look forward to speaking with you again after we report our fiscal second quarter results. Have a great day. Bye.
Operator: Ladies and gentlemen, this concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.